Operator: Hello, and welcome to the Hub Group Second Quarter's 2016 Earnings Conference Call. Dave Yeager, Head CEO, Don Maltby, our President and Chief Operating Officer, and Terri Pizzuto, our CFO are joining me on the call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. In order for everyone to have an opportunity to participate, please limit your inquiries to one primary and one follow up question. Any forward-looking statements made during the course of the call represent our best good faith and judgment as to what may happen in the future. Statements that are forward-looking can be identified by the use of words such as believe, expect, anticipate, and project. Actual results may differ materially from those projected and those forward-looking statements. As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to our host Dave Yeager. You may now begin.
David P. Yeager - Chairman & Chief Executive Officer: Thank you, Eric. Good afternoon, and thank you for participating in Hub Group's second quarter earnings conference call. I'm joined by Don Maltby, Hub's President and Chief Operating Officer, and Terri Pizzuto, our Chief Financial Officer. We had strong second quarter results despite a soft freight environment. All of our business lines contributed to the earnings growth as we continue to press forward with segment specific initiatives. Our corporate development initiative continues to have good traction as we're exploring several potential acquisition targets. There are some very interesting opportunities that would assist Hub in diversifying our service offerings while adding earnings and bringing strategic value. Now I'll review the details of our intermodal business. The increased profitability of occurred despite a slight decline of 3% in consolidated intermodal volume. Sequentially, June was intermodal's best month increasing by 1.5% year-over-year. In fact, the last week of June was the second largest intermodal volume week in Hub history. The improvement is the result of bid awards, marketing initiatives, and reaping the benefits of our operational realignment. For the second quarter, Local East volume was down 11%, Local West was flat, and Transcon was up 6%. Despite the volume decline in the second quarter, we are still forecasting 2% to 4% volume growth for the full year. We continue to realize benefits from our realigned Intermodal Operations and Account Management Group. Our on-time performance with our customers was up 560 basis points year-over-year, while our accessorial costs were reduced by over 51%. The pricing environment continues to be very competitive. However, intermodal's gross margin was up 14% as a result of modest price increases, coupled with the significant improvements that we've seen in reducing our operating expenses. Rail service continues to be very strong. For the second quarter, rail on-time performance improved 25% on a year-over-year basis and 1% sequentially. Fleet turns improved one half of a day to 14.6 days on average. GPA installations in our container fleet now at 90%, will help us make yet further improvements with our fleet turns. Hub's current fleet size is 28,500 containers. We previously stated that we intend to acquire 4,000 containers this year, of which 3,300 will be replacements, and 700 additions to the fleet. As a result of our most recent award activity, we've increased our container order by 2,000 units, bringing our total to 6,000 for this year. The additional 2,000 containers will allow us to meet the increased demands of our customers and provide excellent service. And with that, I'll pass the call over to Don to go through the specifics of our other business segments.
Donald G. Maltby - President & Chief Operating Officer: Thank you, Dave. Good afternoon, everyone. We are very pleased with the quarter results as we continue to focus on areas of growth, margin enhancement, internal efficiencies, and overall performance across all our business lines. This quarter, we again made several service level improvements and can report that we have the highest on-time performance in our company's history. With our improved service levels combined with a better aligned sales and account management structure, we are seeing an increase in our multimodal account onboardings and increased share of wallet with our existing customers. Our multimodal account management teams are still on pace to have the majority of our business under one model by the end of the year, with full implementation scheduled for the first and second quarter of 2017. Our focused approach has delivered the results we are seeing now as we remain steadfast in our efforts to take cost from our network while improving our overall service levels. We will continue to focus on our overall growth strategy, while at the same time, looking at operating efficiencies and margin enhancement opportunities. Now let's talk about the business lines. Truck brokerage. Our truck brokerage division grew volume by 2% in the quarter in spite of a challenging market and overall sluggish demand. The focus remains on strategic customers for targeted multimodal growth opportunities and integrated value-added services to our customers. During the quarter, we continue to add a number of core carriers to our portfolio for specific markets to strengthen our network capacity. We believe we will continue to see a challenging marketplace for the remainder of the year; however, we are well positioned for growth and opportunities. Unyson. During the quarter, logistics revenue declined by 1%, which was anticipated due to softer volumes from our key customers. However, it continued to deliver strong net results due to improved internal efficiencies and mix of customers along with an improved network solutions to support our growing customer base. The revenue decline for the quarter was due to softer volumes from our key customers. Our logistics service offering remained strong and is poised for growth contributions in the second half of the year. The pipeline of new business is robust and the second half of the year will benefit from multiple onboardings. In addition to the new onboardings, we remain focused on expanding business with our existing customers to improve overall yield and provide cost efficiencies for our customers. Finally, we continue to onboard new customers on to our new TMS technology platform that will further strengthen our logistics service offering. Mode. Although overall revenue was down by 1%, Mode transportation generated solid volume growth for the quarter of 4.1%. In spite of the overall decline in revenue, Mode's truck brokerage volume grew by 18% for the quarter due to a new multimodal on-boarded customer along with an increased cross-selling across their network. Our team remains focused on delivering operational excellence along with our new customer onboardings while driving results for the remainder of the year. Finally, during the quarter, one new IBO was added to the network along with 12 new salespeople along to in our Pipeline for new IBOs remains strong. We believe that Mode's volume growth and expansion of its sales force in the second quarter, leave it well positioned to capitalize when freight capacity tightens and freight levels recover in coming months. Now, I'll turn it over to Terri to go over the financials.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Thanks, Don, and hello everyone. As usual I'd like to highlight three points. First, despite the tough freight market, we had an outstanding quarter with 16% income growth contributing to our best-ever second quarter earnings per share. By the end of the quarter, we had completed 85% of our $100 million share repurchase authorization. And third, as expected, we continue to see a challenging environment for intermodal volume and pricing. Here are the key numbers for the second quarter. Hub Group's revenue decreased 5% to $856 million, primarily due to lower fuel revenue. Hub Group's diluted earnings per share increased 20% to $ 0.61. Now I'll discuss details for the quarter starting with the financial performance of the Hub segment. The Hub segment generated revenue up $649 million, which is a 6% decline compared to last year. Taking a look at the business lines, intermodal revenue was down 6%. This decline was due to lower fuel revenue and a 2% decrease in intermodal loads. Price was up partly offsetting the decline. The volume decline was driven by a 7% decrease in loads from consumer products customers and a 3% decrease in loads from retail customers. These decreases were partially offset by a 20% increase in loads from automotive customers. Truck brokerage revenue was down 11%. Truck brokerage handled 2% more loads but fuel mix and price combined were down 13%. Logistics revenue decreased 1%, due mostly to lower fuel revenue. We're excited about new customer onboardings and expect strong revenue growth in logistics in the back half of the year. Hub's gross margin increased by $10.9 million or 15%. Gross margin, as a percentage of sales, was 12.8% or 230 basis points higher than the second quarter of 2015. Gross margin increased in all three of Hub's business lines. Intermodal gross margin increased because of price increases, improved accessorial management, better utilization, and lower dray cost. Rail cost increases partially offset some of this improvement. These same factors drove a 210 basis improvement in intermodal gross margin as a percentage of sales. Truck brokerage margin increased because of growth with targeted customer accounts. Truck brokerage gross margin as a percentage of sales was up 320 basis points due to value-added services and better purchasing. Logistics gross margin increased due to growth with new and existing customers. Logistics gross margin as a percentage of sales was up 250 basis points due to improved customer mix, operational efficiencies and more cost effective purchasing. Sequentially, compared to the first quarter of 2016, the Hub segment gross margin as a percentage of sales decreased 40 basis points. Intermodal gross margin deteriorated 90 basis points, while truck brokerage increased 40 basis points and logistics increased 100 basis points. Hub's cost and expenses increased $5.7 million to $55.8 million in the second quarter of 2016, compared to $50.1 million in 2015. This increase relates to a $4.5 million increase in salaries and benefits and a $1 million increase in general and administrative expense. Salaries and benefits are up due to higher headcounts, annual employee raises, and an increase in bonus expense. General and administrative costs are higher because of an increase in IT cost, including costs for our new transportation management and human resource systems and satellite tracking. Finally, operating margin for the Hub segment was 4.2%, which was 100 basis points higher than last year's 3.2%. Now I'll talk about our Mode segment financial performance. Mode's revenue was $232 million, which is down 1% from last year due primarily to lower fuel revenue. The revenue breaks down as $117 million in intermodal, which was down 1%, $81 million in truck brokerage, which was down 2% and $34 million in logistics, which was up 2%. Mode's gross margin increased $1.8 million year-over-year due to growth in truck brokerage. Truck brokerage (13:34) 18% primarily due to growth with existing customers. Gross margin as a percentage of sales was 13.5% compared to 12.6% last year, due to a 260 basis point improvement in truck brokerage yields as a result of purchasing more cost effectively. Mode's total costs and expenses increased $2.2 million compared to last year, primarily because of an increase in agents' commissions. Operating margin for Mode was 3.1% compared to 3.2% last year. Turning now to our head count for Hub Group. We had 1,671 employees, excluding drivers, at the end of June. That's up 33 people from the end of March. Now I'll discuss what we expect for this year. We believe that our 2016 diluted earnings per share will range from $2.20 to $2.35. This guidance excludes one-time cost in the first quarter and includes the impact of expected share repurchases. We expect that utilization in 2016 will be about a half a day better than 2015. We project gross margin as a percentage of sales for the second half of the year to range from 12% to 12.5%. We believe that our quarterly cost and expenses will range between $85 million and $87 million. Here are the levers to get to the high end of our EPS guidance. In logistics, we have some significant new business awards and deals in the pipeline that could provide upside to our forecast if they come to fruition. In intermodal, the opportunities are exceeding our goals on cost savings initiatives, customer bid awards fully materializing, and a robust peak season. In truck brokerage, we'd have upside if we can maintain the yields we had in the first half of the year. Turning now to our balance sheet and how we used our cash; we ended the quarter with $164 million in cash and $145 million in debt, including capitalized leases. We spent $20 million on capital expenditures this quarter for containers, IT projects and satellite tracking. This brings year-to-date total capital expenditures to $25 million. In 2016, we expect to purchase 6,000 containers and 25 tractors. By the end of June we'd received 1,500 containers that were financed with debt. We intend to fund the purchase of the remaining 4,500 containers and the tractors with debt. We are also investing in technology projects including transportation management and human resource systems, and satellite tracking. Capital expenditures are expected to range from $95 million to $105 million for the year. And finally, to wrap it up on a positive note, through the end of June, we purchased 2,305,874 shares of stock for $85 million completing 85% of our share repurchase authorization. We intend to aggressively execute on the $15 million that remains on the authorization. Dave, over to you for closing remarks.
David P. Yeager - Chairman & Chief Executive Officer: Great, thank you Terri. In conclusion, we're very pleased with our second quarter results. Yet again every business line contributed to the earnings growth. We believe that we're well positioned for growth in the second half as we continue to drive out unnecessary costs and gain market share. And with that, we'll open up the line for any questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator instructions) Standing by for questions. And Ben Hartford is on the line. Please go ahead.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Hey, good afternoon, everyone. I guess, I mentioned your take here and now on the intermodal side, obviously the bulk of the bid season is done. So, maybe a two-part question first. What would you estimate the market is running right now in terms of pricing growth on a year-over-year basis, as we get into July, first? And, second, what are your expectations for 2016's peak season?
David P. Yeager - Chairman & Chief Executive Officer: Okay, great. Ben, I can answer that. This is Dave. From a pricing growth perspective in the latter half of the year you're right, we are about 70% of the way done with the bid season. A couple major bids are coming. We'll know the status of that in the next week or so. I'd say we're looking at flattish. It's slightly up, it's slightly down. We continue to see a lot of competitive pressures downward overall with pricing. So we're not anticipating that in fact we're going to see much upside from a pricing perspective this year. From a peak perspective, I think it depends upon – if we look at it for the industry, we think it's going to be flattish. We don't think that there's going to be a tremendous peak season this year. From Hub's perspective, we do expect a very strong peak. That is why we made the decision for the additional 2,000 containers and as we've said in the prepared remarks, that's mainly just due to the recent awards, and we anticipate a very strong second half from intermodal volume perspective.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Okay, good. And then, Terri, just to clarify, when you talk about aggressively executing what's left on the share repurchases, is it safe to assume that you'll have that done by the end of the third quarter?
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: That's a good assumption. Yep.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Great. Thank you.
Operator: And the next question comes from Justin Long. Please go ahead.
Justin Long - Stephens, Inc.: Thanks and good afternoon. Dave, I just wanted to ask about your strategic approach to this bid season. It was clearly a very challenging and competitive environment. It seems like you were a little bit more focused on growing market share with certain shippers, and this seems to be a change versus the strategy over the last couple of years where you were more willing to lose business due to price. Is that a fair assessment of your strategy shift and if so, can you just talk about the rationale behind this change?
David P. Yeager - Chairman & Chief Executive Officer: Justin, you are spot-on. We were very focused on specific clients and specific markets, where we felt as though we had either a competitive advantage or we had a lot of velocity that we would be able to sustain business at a decent margin candidly at a lower price. So that was our focus. I think that in the past, we were too focused on just raw gross margin and margin per unit with each – and so I think this more focused approach is going to allow us to grow the share of volume, while also, at the same point in time, be able to increase our margins overall.
Justin Long - Stephens, Inc.: Right.
David P. Yeager - Chairman & Chief Executive Officer: In addition to that, we also, with our realignment – what put us in such a good position to do that is we've been able to take out a lot of unnecessary operating expenses. And obviously from the salary numbers that Terri wrote off, it's not from head count reduction, it's from taking out costs such as railroad accessorial, storage, detention, this type of thing, which just took an operational focus in order to be able to reduce them substantially. So you're right on target as far as how we changed, and why we changed is we are of the conclusion you cannot shrink to prosperity. And if you select the markets and the clients to grow with that you can grow volume while at the same time enhancing margins.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Network balance is of critical importance, so that's why Dave talked about the markets and the other areas where volume helps is improving our empty miles so that we have more loaded miles and it helps with utilization.
Donald G. Maltby - President & Chief Operating Officer: Yeah, Justin, I would just add that it's a disciplined approach to the market. We did not take a broad brush, cut prices. We knew the pressure that's out in the marketplace and we took selectively target markets and customers to be able to grow the business.
Justin Long - Stephens, Inc.: Okay, great, that is really helpful color and maybe secondly, these are probably more questions for Terri but a couple on the guidance. Is there any color you could provide on the expectations that you have for gross margins in the Hub segment, specifically in the back half of the year? And then, overall, when we look at the EPS guidance, could you speak to the cadence between the third and the fourth quarter? Should it be split pretty evenly or could some of the pricing pressure late in the bid season pressure 4Q EPS a little bit more than 3Q?
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Sure. In terms of the Hub segment gross margin, as a percentage of sales for the half of the year, we would expect it to be between 11.3% and 11.8%. And in terms of the cadence of gross margin as a percentage of sales, is that what you're asking, Justin? For the consolidated group?
Justin Long - Stephens, Inc.: Well, it was actually more on EPS but if you have the answer for consolidated gross margins as well, that would be helpful.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Yeah. In terms of the consolidated gross margins, we're expecting them to be about the same in Q3 and Q4, in terms of the gross margin as a percentage of sales or the yield. In terms of what our operating income is going to be, we would expect operating income to be lower in the last half of the year than it was in the last half of 2015.
Justin Long - Stephens, Inc.: Okay. But between the third and fourth quarter, should it be pretty even it sounds like at least from a margin standpoint, looking at consolidated gross margins it will be?
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Yeah, pretty close. Exactly.
Justin Long - Stephens, Inc.: Okay. Perfect, that's very helpful. I appreciate the time.
David P. Yeager - Chairman & Chief Executive Officer: Thanks, Justin.
Donald G. Maltby - President & Chief Operating Officer: Thanks, Justin.
Operator: And the next question comes from Todd Fowler. Please go ahead.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Great, good afternoon. I guess, Dave if you could maybe just help me you think about the volumes here in the quarter and the volume guidance. The 2% decline in the quarter was that a function of the difficult comparisons last year or the sluggish market and then maintaining the 2% to 4% on the full year basis, was that more success than what you were expecting in the bid season? And, I guess, really what I'm asking is, have volumes trended the way you were expecting through the year or were you more successful in the bids than you know what you were initially expecting with your guidance earlier?
David P. Yeager - Chairman & Chief Executive Officer: Yes, Todd. You know, as far as the overall comparables for the second quarter of this year we were – in fact, there were very high volumes levels last year with the ending of the port strike on the West Coast. And so it was a pretty high hurdle, there's no question about that. And, as far as we're saying, I wish we were that prescient to be able to predict the volumes and how we're going to come out of bids. But again, I think that we went into this bid season particularly in the latter half of the first quarter and through the second quarter just very focused on specific markets, the clients, and we were very pleased with the outcome and how we've been able to drive the volume and the awards forward. Now, of course, there's always the question of will the awards actually live up to what we believe will come about. But we feel pretty confident in those numbers for the second half of the year, and I think that that strategy has definitely paid off for us.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Okay, that helps. And then just kind of reconciling the volume expectations with the change in the full-year guidance, you bumped it up modestly at the low and the high end and you also had the operating expenses going up. I'm just trying to think about the main change here in the guidance, it seemed like the gross margins are a little bit better than what you were thinking the volumes are in line. What is the difference between the full-year guidance now versus where you were at the end of the first quarter?
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: You're right, Todd, we raised it about a $0.05, and why we did that was Q2 results came in slightly higher than our expectations and in addition, we have more clarity now on awards and logistics and our intermodal bid results.
David P. Yeager - Chairman & Chief Executive Officer: We're through the bid numbers now, Todd.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: And then in terms of our cost and expense guidance, were you asking about that as well?
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Yeah, Terri, that would be helpful. I'm just little bit curious about the step up, I mean, a lot of the comments in the prepared remarks were about maintaining expenses but they are moving up sequentially. So, yeah, any color you have on that would be great.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Right. So we increased our cost and expense guidance from $79 million to $83 million, which we had last quarter to $85 million to $87 million that we have now. We expected the third and fourth quarter cost and expenses to be at the high end of the previous range, which would have been the $83 million. And so, if you are trying to reconcile from the $83 million to the $87 million, that's the high end. Now, the biggest drivers of that increase are two things. About $2 million quarterly for higher bonus related to expected earnings per share and personal goal achievement and about $1 million quarterly for expected head count adds primarily in logistics.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Okay, that helps. Hey, and Don, Cleveland is looking pretty good these days.
Donald G. Maltby - President & Chief Operating Officer: I'm surprised you didn't introduce yourself as the world champion (28:36).
Todd C. Fowler - KeyBanc Capital Markets, Inc.: It does. After almost 50 years it's pretty easy to get used to saying that. Thanks for the time tonight, guys.
Donald G. Maltby - President & Chief Operating Officer: Thanks, Todd.
David P. Yeager - Chairman & Chief Executive Officer: Yeah, thanks, Todd
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Take care.
Operator: And the next question comes from Kelly Dougherty, please go ahead.
Kelly Dougherty - Macquarie Capital (USA), Inc.: Hey, everybody, thanks for taking the question. Dave, I just want to follow up on something you mentioned earlier about seeing how much of the awarded volume actually comes through. Do you guys have any history that 90% or 80% or whatever the number might be of what you get awarded generally comes through in any given year and do you expect this year to be any different for any particular reason?
David P. Yeager - Chairman & Chief Executive Officer: Kelly, that's an interesting question. We do track it and we track it mostly based on client because it's very client specific. Certain ones are very good with their forecasts and right on. Some always underestimate and some always overestimate. So we know who that is, and if it's a customer that traditionally overestimates the amount we'll cut them back by an appropriate percentage, whether it's 10%, 20%, 30%, as far as what we're forecasting from a volume perspective. So we have enough history with our clients that we know their forecasting, which may be good, bad, or indifferent.
Kelly Dougherty - Macquarie Capital (USA), Inc.: Okay. So that 2% to 4% is already kind of probability weighted for those things?
David P. Yeager - Chairman & Chief Executive Officer: It's already probability weighted, yes, absolutely.
Kelly Dougherty - Macquarie Capital (USA), Inc.: Okay, great thanks. And then I think you previously talked about covering rail cost increases kind of half with pricing and half with internal initiatives. Looks like pricing might be a little bit weaker everywhere. So just kind of wondering if there are other things that you have identified on the efficiency side and then maybe kind of related to that, you got a bunch of different IT initiatives going on. Maybe can you help us quantify some of the savings of those things?
David P. Yeager - Chairman & Chief Executive Officer: Terri, I don't know if you would like to do that.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: I'll take a stab at some of that. Sure, there are three main areas of cost savings, Kelly. We've got improved utilization, lower dray cost, including selecting the best carrier from a price and service perspective, improving loaded miles, reducing truck ownership costs, and reducing insurance and claims cost. And then we also have a bucket that we're trying to lower our accessorial costs and better accessorial cost recovery. Our goal is about $15 million dollars of savings for these initiatives for the entire year and the realignment of our operations was a key factor in being able to realize those cost reductions that we've experienced so far. We're seeing renewed intensity and openness to change throughout the organization and we feel pretty confident that we're going to get those cost savings. In terms of the IT initiatives that we're working on, the transportation management system, that has helped us to win a lot of new customers in logistics and we've been very busy with onboarding new customers. It is our highest year ever in terms of onboarding new logistics customers and then from the human resource management system, that's more for internal purposes, but it will help – we were really doing everything with paper. And it's going to help us to be a lot more efficient and to help our people benefit too, because we'll have better career planning for our people.
David P. Yeager - Chairman & Chief Executive Officer: Right. (32.20) a great deal of talent management, which is very important as obviously the hiring environment and the locations we're at has picked up quite a bit. And so we need to make sure we got good career paths and can identify our higher achieving individuals and progress them through the organization.
Kelly Dougherty - Macquarie Capital (USA), Inc.: Understood.
Donald G. Maltby - President & Chief Operating Officer: Kelly, to Terri's point on the IT side, one other important aspect is the satellite tracking, which is around 70% of our fleet is complete, 100% of it will be done by the end of the year and that has really helped us managing equipment and improving the dwell time.
Kelly Dougherty - Macquarie Capital (USA), Inc.: Great, thanks guys. One other just quick one. I think you've also previously mentioned you're seeing more conversions back to truck than you have in a long time. Just any kind of update on how that has been trending recently and kind of how you think about it in the back half?
David P. Yeager - Chairman & Chief Executive Officer: I can answer that. I think that as we look at the decline in local leased, probably half of that decline is due to conversion back to truck and the other half is some intermodal competition that we saw this past quarter. So truck continues to be very competitive. We are finding some clients also though that we've been able to convert from truck to intermodal. So if I looked at it, we are probably still converting more to intermodal than from but there's no question that trucks in the very short hauls continue to be very competitive with this fuel environment and with a very soft freight car economy.
Kelly Dougherty - Macquarie Capital (USA), Inc.: Thanks very much, guys.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Thank you.
Operator: And the next question comes from Kevin Sterling. Please go ahead.
Kevin Wallance Sterling - BB&T Capital Markets: Good afternoon.
David P. Yeager - Chairman & Chief Executive Officer: Hi, Kevin.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Hi, Kevin.
Kevin Wallance Sterling - BB&T Capital Markets: Dave, you obviously talked a lot about the challenging environment and I believe your rail costs increase went into effect June 1. As this environment really kind of muddles along, if you will, are your rail partners willing to work with you at all regarding any price concessions? Have you been talking with them or is it just – here, it is what it is?
David P. Yeager - Chairman & Chief Executive Officer: Well, Kevin, we know we've been in this business long enough to know that rails on an ongoing basis have cost increases whether the market allows it or not. We feel as though that our two rail partners have been quite reasonable this year but in fact the price increases were larger than what we were able to obtain in the market. We were able to make some of that up due to our own internal operational efficiencies. But that's just part of the business, the rail's there – whether we're in a 2009 recession or whether in fact we're in the current freight recession where prices are very stagnant, they still have capital requirements. And so we just expected that there would be price increases. It did outpace what we were able to get in the market with our clients. But again, we just fully understand that and that's the way the business operates.
Kevin Wallance Sterling - BB&T Capital Markets: Yeah, no. Okay, thanks. And then lastly I believe you mentioned a pretty healthy M&A pipeline. Are you looking at any new verticals possibly or is it just maybe some more bolt-on acquisitions?
David P. Yeager - Chairman & Chief Executive Officer: There is some bolt-on but the vast majority is new verticals. As we had – part of our acquisition strategy is to in fact be able to diversify our service offerings to our clients. We feel as though we're very well positioned with our intermodal product and our Unyson product, as well as truck brokerage but we feel as though there's other verticals that we should enter in order to have that tool to offer to our clients.
Kevin Wallance Sterling - BB&T Capital Markets: Great. Okay, that's all I had. Thanks for your time and congratulations on another solid quarter.
David P. Yeager - Chairman & Chief Executive Officer: Thanks, Kevin.
Donald G. Maltby - President & Chief Operating Officer: Thank you.
Operator: And the next question comes from Scott Group. Please go ahead.
Scott H. Group - Wolfe Research LLC: Hey, thanks. Good afternoon, guys.
David P. Yeager - Chairman & Chief Executive Officer: Hey, Scott.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Scott.
Scott H. Group - Wolfe Research LLC: Just following up on that last point about M&A. Dave, I think last quarter or a couple quarters ago you highlighted dedicated as a new vertical. Is that still an area of focus or is it other areas that you're more focused on right now?
David P. Yeager - Chairman & Chief Executive Officer: What is currently active, dedicated is not among them. So, we do – we continue to feel as though it's of interest, we feel as though it's going to be the one segment within the Regional Truckload segment that might be attractive, but we are not currently pursuing anything in that vertical.
Scott H. Group - Wolfe Research LLC: So what kind of areas are you looking at, if you care to share?
Donald G. Maltby - President & Chief Operating Officer: Asset light models similar to a 3PL model. That would be one. Truck brokerage, if it fit, and anything in regards in the logistics space.
Scott H. Group - Wolfe Research LLC: Okay. So just, Terri, one thing I wanted to clarify in the guidance. What earnings number are you using for the first quarter, the $0.51 reported or the $0.58 adjusted?
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: The adjusted number.
Scott H. Group - Wolfe Research LLC: Okay. Okay. Within your gross margin guidance for the back half of the year that implies a pretty big kind of sequential step down, is that more in intermodal or brokerage or maybe is it just there's mix of Unyson starting to grow more? I don't know.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: It's mostly in intermodal. And we've also planned for – in our forecast we also have about 100 basis points to 200 basis points decline in truck brokerage yields. Now, one of the levers to our forecast that I mentioned was if we could maintain the yields we had in the first half of the year that would provide upside to our guidance. But, right now, it's baked in the forecast as gross margin as a percentage of sales being lower for both intermodal and truck brokerage.
Scott H. Group - Wolfe Research LLC: Okay. And you gave us kind of the levers to get to the high end but not the low end. Is that just because you're thinking if you're going to be on one side you're thinking closer to the high end and the low end? Is that a fair interpretation?
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Yeah. As Dave mentioned, we're pretty confident in that 2% to 4% volume growth for the year, which does imply high-single digit volume growth in the last half of the year, but we have clarity on the bid awards now. We know that. We also have a lot of clarity on the logistics awards, which have been in there. In this quarter we onboarded about $20 million annually of new logistics business. We expect to onboard between $35 million and $45 million annually of logistics business here in the third quarter. Why that's such a big range is we're just ramping up with the customers now. And we're not sure what the peak season surges are going to be for those particular customers that we're onboarding. So, we feel pretty confident to the middle to the high end of the guidance, I guess, to summarize.
Scott H. Group - Wolfe Research LLC: Okay, that's helpful. And just last thing, Dave, just kind of big picture. You mentioned the change in maybe strategy heading into bid season this year, but if I take a look at the guidance it does imply lower earnings in the back half than what we just saw in the second quarter. So, is your point that if you didn't have a different strategy and you just kind of – you saw this weak pricing environment that it would have been even worse, or am I kind of missing something here?
David P. Yeager - Chairman & Chief Executive Officer: A good question, Scott. And I will suggest to you that our volumes would be declining dramatically, and that our overall margin therefore would also be declining. And we'd be looking at a much more serious situation in my mind. I think with this we've been able to grow the business. Granted, yes, the margin per unit may be declining somewhat, but it is this environment. And we think that the alternative of just giving up share was not an alternative.
Donald G. Maltby - President & Chief Operating Officer: Right. We would have stood still. We would have been eroding margin and volume greater.
David P. Yeager - Chairman & Chief Executive Officer: Right.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Yeah, we're positioned to grow in the future as well once we pass this pricing season.
David P. Yeager - Chairman & Chief Executive Officer: Right.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Hopefully the market tightens up some next year and we're able to price that more next year and we're providing the best service we've ever provided. That's part of the reason we got the 6,000 containers to make sure with this significant growth in intermodal that we're having in the last half of the year that we can continue that trend. So we feel that we're very well positioned for the future, not just for the second half of this year.
Scott H. Group - Wolfe Research LLC: Okay. That makes sense. Okay. Thank you guys a lot. Appreciate it.
David P. Yeager - Chairman & Chief Executive Officer: Thanks, Scott.
Operator: The next question comes from Tom Wadewitz. Please go ahead.
Thomas Wadewitz - UBS Securities LLC: Yeah, good afternoon. I wanted to see if you could comment a little bit – I know that intermodal trends near-term maybe aren't -- don't have the same, I guess, changes necessarily that truck does, but we have heard from trucks about some tightening in the market, off a low base and a little bit of an improvement in spot market say in June and July. What are you seeing in July, and is that a pickup in the market and is there some tightening that would be supportive potentially from an intermodal perspective and truck perspective?
Donald G. Maltby - President & Chief Operating Officer: Hey, Tom, this is Don Maltby. Yeah, we saw a tightness the last week or last two weeks of June and over the 4th of July holiday, which is normal. And it's back to being fluid again. So we're not seeing any tightness out there in the marketplace nationally. We might have a spot here and there, but no. Capacity is fluid.
Thomas Wadewitz - UBS Securities LLC: Okay, okay. In terms of the – I think you were asked one question on kind of the rail pricing. Is there, and so I apologize if you commented on this. But is there a meaningful difference in terms of the increase you're paying West versus East, and does that kind of flow into the pattern you had where you were down quite a bit in the East? I mean, I recognize that's more truck competitive length of haul, but maybe if you can comment a little bit about is there a big difference in the cost inflation with rail in the East versus West.
David P. Yeager - Chairman & Chief Executive Officer: Yeah, we, of course, don't really talk about the contracts specifically for both lines. I think what the primary issue that you've got, there's several. Number one, as I said, I thought that the cost increases with the rails were reasonable, but if you can consider any increase in this environment reasonable, it certainly was difficult to try and retain our existing margin with our having to pass – trying to pass that onto our clients. The primary within the 50% as I'd said of the loss in the East was specifically due to truck competition. So it's just a shorter length of hauling and with that short length of haul inevitably in this type of environment when you have fluid truck capacity, they're going to be going after that short haul business – what we consider to be short haul business. For them it's longer haul, if you will. So, less so due to different pricing increases than just different markets.
Donald G. Maltby - President & Chief Operating Officer: Yeah, I think the truck rates fell quicker...
David P. Yeager - Chairman & Chief Executive Officer: Yes.
Donald G. Maltby - President & Chief Operating Officer: In the first half of the year in Local East. Certainly the first quarter.
David P. Yeager - Chairman & Chief Executive Officer: Right.
Donald G. Maltby - President & Chief Operating Officer: And we were following that.
Thomas Wadewitz - UBS Securities LLC: Right. Okay, so what would you expect given the new bids and the acceleration in volumes you're looking at in second half? Would that mix be similar where it's a pretty big difference in terms of East still being very weak and the transcontinental being kind of the best of the three segments?
David P. Yeager - Chairman & Chief Executive Officer: Transcon certainly does continue to be very strong. We are looking for a bit of a pickup in the Local East as well. As we been able to find some, if you will, longer haul local lease conversion freight that will be quite significant. So, yes, so it will -- they'll both, it will increase in both areas, but certainly the Transcon is -- it's just a very compelling business case to convert – to ship by intermodal on those length of hauls that are anywhere from 1500 to 2500 miles.
Thomas Wadewitz - UBS Securities LLC: Right, right, okay. Makes sense. All right thanks for the time.
David P. Yeager - Chairman & Chief Executive Officer: Thanks, Tom.
Donald G. Maltby - President & Chief Operating Officer: Thank you.
Operator: The next question comes from Brandon Oglenski. Please go ahead.
Brandon Oglenski - Barclays Capital, Inc.: Thanks everyone for taking my question. Congrats on the quarter.
David P. Yeager - Chairman & Chief Executive Officer: Thank you.
Brandon Oglenski - Barclays Capital, Inc.: I did want to circle back, Dave or Don, to the comments made earlier and then Scott's question about effectively the new strategy can improve margins and drive volume growth but how do we square that again with margins that are arguably going to be contracting in the back half of the year? Was that a comment you were making more about the long term, Dave?
David P. Yeager - Chairman & Chief Executive Officer: It really is about the long-term. And that's what obviously we need to focus upon. This market is just not one that you're going to increase your margin per unit or your gross margin on. It's not. But if in fact you can gain some market share, you can to a large extent, make up for that.
Donald G. Maltby - President & Chief Operating Officer: Price discipline. Price it as aggressively as you can but without going to the bottom of the tier. So we're seeing again our customers tend to be medium to large. It's a bid season every year and we really took an approach of how we were going to grow the business in certain markets with certain customers in certain verticals.
Brandon Oglenski - Barclays Capital, Inc.: Okay. Don, maybe if you can follow up with Terri's discussion of the cost savings, because I think she mentioned a few items that add up to about $15 million of targets that you guys have. But something that was interesting to me was the accessorial charges that the rails might be charging you and how inefficiencies in the system might have been driving higher charges than what you are looking at. Is there any way to quantify – is that a longer term that you can work even beyond the $15 million or is it not that interesting from a high level perspective?
Donald G. Maltby - President & Chief Operating Officer: No, it's interesting from a high level in a way I would describe it as the blocking and tackling, where the basic elements of accessorials are storage per diem to our customers and we feel we've got with this restructuring, our arms around that cost and we're continuing to wring it out along the way. I think we still have a runway for that. And as I think as Terri mentioned, we are. Underlying rail costs have gone up, we know that and the way to offset some of those 50% of that is through a reduction in accessorials.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Yeah. I think Dave mentioned in his prepared remarks that accessorial costs were reduced by over 51% this quarter and I echo that and if you were to say well how much was that? It was north of $4 million of savings in that area alone in the second quarter. Now, we had some changes to our operational structure that started last year so we're not sure the benefit will be that big in the last half of the year because we changed things around a bit in the fourth quarter predominantly. So, but that's certainly an area that we continue to focus on and think we have a lot of improvement.
David P. Yeager - Chairman & Chief Executive Officer: (49:04) we saw the biggest drop though. It's been getting sequentially better and better.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Exactly.
David P. Yeager - Chairman & Chief Executive Officer: So with this realignment of our operating group and with our account management it's added – which took place actually officially on the first of the year
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Yes.
David P. Yeager - Chairman & Chief Executive Officer: It's assisted us in being able to reduce those costs. (49:24) they're just unnecessary if in fact you can put enough attention and focus to them.
Donald G. Maltby - President & Chief Operating Officer: We identified the issue in the fourth quarter of last year and in November actually, and implemented January 1 with the new structure.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: And some in December.
David P. Yeager - Chairman & Chief Executive Officer: We've got a runway.
Brandon Oglenski - Barclays Capital, Inc.: Okay. Appreciate it. Thank you.
Operator: The next question comes from Alex Vecchio. Please go ahead.
Alexander Vecchio - Morgan Stanley & Co. LLC: Good afternoon, thanks for taking the question. Dave, what inning would you say you're currently in on these various self-help and cost-reduction initiatives if you can kind of help us think about. I presume different initiatives are at different stages but can you kind of help us think about what inning you're in there?
David P. Yeager - Chairman & Chief Executive Officer: Yeah. That's an interesting question and you're absolutely right that different initiatives are at different stages in their life cycle. We were just talking about the accessorials. That's probably in the third inning or so. I would say in the aggregate, we are probably still in the early innings on a lot of this. There still is some inefficiencies within the organization and the way we operate that we can in fact take costs out. So we're probably in the third, mid-third inning of which I assume the Cubs will win. But that's a different area (50:50). So, yeah, I would say in that area if you look at it globally as far as all the initiatives we have ongoing.
Alexander Vecchio - Morgan Stanley & Co. LLC: Okay that's helpful. And maybe one for Terri. Terri do you still expect Unyson revenues to be up mid – I think it was last quarter you said mid to high single digit revenue growth for the full year. Can we see upside to that at this point?
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: We think for the back half of the year it'll be in the mid-teens.
Alexander Vecchio - Morgan Stanley & Co. LLC: Okay. And then just one last housekeeping. What tax rate should we assume for the back half?
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: 38.2%.
Alexander Vecchio - Morgan Stanley & Co. LLC: 38.2%. Okay, that's all I had. Thanks very much for the time.
Operator: The next question comes from Matt Brooklier. Please go ahead.
Matt S. Brooklier - Longbow Research LLC: Hey, thanks. Good afternoon. Could you provide some color in terms of your intermodal volumes on a month by month basis for 2Q?
David P. Yeager - Chairman & Chief Executive Officer: Yes, yes we can. In fact, Terri you have those.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Yeah, June was the best. Volume change per business day in April was down 3.7%, May down 5.7% and June up 1.5%.
Matt S. Brooklier - Longbow Research LLC: Okay, and then where is that tracking in July?
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: 2.3% on a day-to-day basis.
Matt S. Brooklier - Longbow Research LLC: Okay. And the change and better growth in July, what, is that a reflection of some of the new business that you've won? Is it partially comp driven? Just trying to get a sense for, like, where that number could be headed as we move forward.
David P. Yeager - Chairman & Chief Executive Officer: Well, I think that's why you have to look at it that we look at it on the same day because the way July 4th falls has a big impact on how it's looking. So, no, this has been business gains. And so, directionally, as Terri had said, we are looking at mid-high single digit growth for the second half with our intermodal volume.
Matt S. Brooklier - Longbow Research LLC: Okay. And then just turning to truck brokerage. I think Terri or somebody said it expectations for your gross margin can contract by I think 200 basis points. That was a sequential contraction, or you expect your truck brokerage margins to be down 200 basis points year on year during the second half?
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: That was sequential.
Matt S. Brooklier - Longbow Research LLC: Sequential pressure? Okay. Then, I guess, what's driving that? It sounds like June got a little bit tight, seasonally it should. Felt a little bit of tightness in the early part of July but, per Don, things have gotten a little bit looser. I'm just trying the get my arms around why I guess baked into the guidance you have this margin contraction sequentially if the market is looser here in July.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Sure. Well, gross margin as a percent of sales in truck brokerage was up 320 basis points year-over-year in Q2. That was pretty darn high. And because of the way the spot market is we think that our contractual pricing could be pressured and that's the primary reason that we estimated in our forecast that it could be down sequentially between 100 basis points and 200 basis points.
David P. Yeager - Chairman & Chief Executive Officer: That's right.
Matt S. Brooklier - Longbow Research LLC: Okay. And then just one last one in terms of M&A. International forwarding, is that an area of potential interest if you're looking to add services to what you're currently offering?
David P. Yeager - Chairman & Chief Executive Officer: It's something we've discussed a lot. I think that some of the barriers to entry is if you look at our client base, they are larger more sophisticated customers. And if you're going to go in there and if we acquire an international freight forwarder trying to compete with the Expeditors and the Panalpina and the Kuehne + Nagel's could be quite difficult. I guess if we could find somebody that is in a particular niche of which they have some kind of a competitive advantage it may be of interest, but at this point in time that's not high on our priority list.
Matt S. Brooklier - Longbow Research LLC: Okay. Appreciate the time.
Donald G. Maltby - President & Chief Operating Officer: Thank you.
Operator: The next question comes from Ben Hartford. Please go ahead.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Yeah. I think everything was addressed. Thanks guys.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Sure. Thank you.
David P. Yeager - Chairman & Chief Executive Officer: Thanks, Ben.
Operator: All right, standing by for questions. We have a question from Matt Young. Please go ahead.
Matthew Young - Morningstar, Inc. (Research): Good afternoon, guys. Thanks. Could you talk quickly here just a little bit about the additional levers you have to improve the drayage cost at this point? What would you say is the biggest opportunity there? Would it be balance of inside versus outside miles or more function of call it the internal network efficiencies at Hub Group trucking?
David P. Yeager - Chairman & Chief Executive Officer: I think it's a combination there. One of the things we have been very focused on is selecting the right draymen for the service and price in the various markets, and that may be our own internal drayage, it may be outsourcing it. In the past, we were too biased, if you will, using our own assets instead of looking at other people's networks and seeing if in fact why we couldn't be more efficient by utilizing them. So, it's a combination thereof of trying to optimize your outside spend while at the same time trying to eliminate as much empty miles internally so that you can spin your drivers. It's a very fine line. There's certain cases where we'll actually give the balanced freight to outside draymen and then handle the deadhead miles ourselves just because we can be more cost effective. So it's really looking at our volumes in the aggregate and then just coming up with – it's a simple optimization model as far as which way you go providing that you can get the excellent service that our customers expect.
Matthew Young - Morningstar, Inc. (Research): Fair enough. In most geographies are you generally able to find the capacity that you need for the right price? I guess, I'm also thinking about L.A. since you have closed the terminal have you found sufficient capacity sufficient quality?
David P. Yeager - Chairman & Chief Executive Officer: We're very enthused with the way the Los Angeles has turned out. If you look at it our on-time performance both for pickup and deliveries, I don't have the exact number off the top of my head, Matt, but it's up significantly versus when we had our own assets on the ground there. And in addition, the business model that we had operating towards the end in Los Angeles was highly price-ineffective. So – it's the best of all worlds. We're saving money and at the same time we're delivering a lot better service to our clients.
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: Yeah, I would add that we did 57% of our own drayage in Q2 this year, which is down from 60% last year in Q2 and slightly lower than 59% that we did in Q1 of 2016.
Matthew Young - Morningstar, Inc. (Research): Okay. And so that improvement would be a big piece of the gross margin improvement in the intermodal segment, too, right?
Terri A. Pizzuto - Chief Financial Officer, Treasurer & Executive VP: It is.
David P. Yeager - Chairman & Chief Executive Officer: Yes, there's no question.
Matthew Young - Morningstar, Inc. (Research): Okay. Thanks.
Operator: And we now have no further questions. I'll now turn it back over to Dave Yeager for closing remarks.
David P. Yeager - Chairman & Chief Executive Officer: Well, great. Once again thank you for joining us on our conference call. As always, if you have any further questions, please do feel free to contact Terri, Don or myself.
Operator: And thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.